Operator: Good morning, ladies and gentlemen. At this time, we would like to welcome everyone to Marfrig Global Foods SA Conference Call to present and discuss its results for the Second Quarter of 2016. The audio for this conference is being broadcast simultaneously through the Internet in the website, www.marfrig.com.br/ir. In that address, you can also find a slideshow presentation available for download. We inform that all participants will only be able to listen to the conference call during the Company's presentation. After the Company's remarks are over, there will be a Q&A session. At that time, further instructions will be given. [Operator Instructions] Before proceedings, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Marfrig's management, and on information currently available to the Company. Forward-looking statements are not guarantees of performance. They involve risks, uncertainties, and assumptions, because they relate to future events and therefore depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect to the future results of Marfrig, and could cause results to differ materially from those expressed in such forward-looking statements. Now, I'll turn the conference over to Mr. Marcos Molina, Marfrig's Global Foods Chairman. Please Mr. Molina, you may now begin the conference.
Marcos Molina: Good afternoon, everyone. I like to take the opportunity to congratulate all Marfrig team. During this quarter, we were able to achieve very important target. Of these operational cash flow and free cash flow, the lowest leverage from the last three years in our record resulting activities. And I'd like to reaffirm by commitment from the board to the financial discipline and that it would be something that we will continue as part of our day-to-day. I'd now hand the call over to Martin Secco, CEO of Marfrig.
Martin Secco Arias: Thank you, Marco. Good morning, ladies and gentleman. I would like to start by thanking everyone for participate in another earnings conference call of Marfrig Global Foods. Today we will be commenting on the results of the second quarter of 2016. With me are the CEO's of the Business Unit who will present the result of their respective units, as well Eduardo Miron, our Global CFO and IRO, and Roberto Varela [ph], our Investor Relation Director. Please go to the Slide number 3 where we will begin today's presentation. On this slide, I will comment on the evolution of the key indicators for our 2016 guidance. Our free consolidate net revenue was R$10 billion in the first six months of the year, growing by 8.7% on the same period of the last year. Revenue growth is plain by the higher average sales price in the Brazilian market and by the average depreciation in the Brazilian real between the two periods. Adjusted EBITDA was R$858 million, with margin of 8.7% which is in line with our guidance range for the year. CapEx amount was R$169 million which was concentrated in maintenance at our 16 operations. In the language our planning for the year which breaks a high amount of investment in the second half of the year, due to the construction of the new Keystone plant in Thailand. The scenario for the second quarter was remained very challenging, special for the beef operation. Due to the depreciation of the Brazilian real, our higher raw material cost, Marfrig was stable to partially reduce the negative free cash flow of R$138 million in the first quarter to a negative free cash flow for R$69 million for the first half of the year 2016. Regarding our guidance, for the year, I would like to remind to you, when we give our guidance for the market at the time that we report in 2015 results, the market thought that we were very conservative. At that time I respond that the figures were neither conservative or aggressive, but they were realistic for our business that involve multiple buyouts. Given the expectation of our better definition of the macroeconomic scenario in Brazil and the new exchange rate levered, that appear to be consolidated. We are analyzing the numbers during the third quarter, we will confirm if we maintain or revise our guidance in 2016. But I would like to refrain, however, that we'll remain focus in our generation positive cash flow. I will ask Eduardo to continue the presentation, especially regarding the financial figures.
Eduardo de Oliveira Miron: Thank you, Martin. Let's turn now to the Slide number 4, where I will give more details on the breakdown of our net revenue. As you can see Marfrig's net revenue was R$4.8 billion in the second quarter of 2016, as more increase from the second quarter, but the lower sales volume in the distribution and the lower revenue at Keystone difference by lower commodity prices were offset by the Brazilian real depreciation between the two periods. Keystone and Beef International operations accounted for 63% of total revenue, up from 59% in the second quarter of last year, demonstrating the company's continued international expansion. With regard to our currency exposure, notes that only 21% of our revenue was linked to the Brazilian real in the second quarter of 2016, which is now one percentage point from the second quarter of last year. This reflects Marfrig's pork international presence with Keystone and Beef International operations, as well as its continued success in phasing opportunities in the export channels in Beef Brazil operational. Let's turn to the Slide 5, please. On this slide, I will comment on our fixed consolidate gross profit and adjusted EBITDA. Gross profit in the quarter was R$572 million, up 3.2% from the prior year period, with gross margin up 12%. The main factors contributing to this performance were depreciation of the real and U.S. dollar, and the lower raw material costs in the international operation, which were partially offset by lower margins in the Beef operations. SG&A expense as a ratio, our net revenue stood at 5.7%, 50 basis points higher than higher area. The FX conversion impacted on dollarized export logistic expense in the Brazilian operation and on the SG&A of international operation, which were the two main drivers. In this context, adjusted EBITDA was R$440 million and margin up 8$7%, both figures in line with the second quarter of 2016. Finally, on the graph in the lower right corner, we show the EBITDA breakdown by business. Our Keystone represented 56% during the second quarter, a 16 percentage point increase from the same period of the last year. On Slide 6, I will comment on net income in the quarter and year-to-date. In the first half of 2016, Marfrig posted a net loss of R$238 million, improving R$339 million or 6% from 2016. During the second quarter, Marfrig posted a net loss of R$132 million, R$106 million lower when compared to the second quarter of 2015. Here we have two relevant impacts. First, in 2016 the result was positively affected by a non-recurring gain on bargain purchased of the Mercormar assets. Second, in 2016 the result was negatively impacted by the increase in financial expense, due to the liability mentioned in process, which means extraordinary expense with the bonds repurchased and by the write-offs of deferred expense from previous issues. Before we move to the next slide, I will pass the call over to Frank Ravndal, CEO of Keystone.
Frank Ravndal: Thanks Eduardo. Good afternoon everyone. Keystone once again delivered excellence results for the quarter. Let's review that performance in more detail on Slide 7. As a reminder, all financial data presented for Keystone is in U.S. dollars. Starting with the graph on the upper left, net revenue decreased by 4% compared to the same period of 2015, driven by lower commodity prices mainly in the U.S. market. As you know, Keystone's business model includes pass through arrangements for commodity prices and some commercial arrangements with several customers. Therefore, Keystone's revenue was linked to meat and feed prices. The second quarter saw a continuation of the declining costs trend we experienced in the first quarter of 2016. In the U.S. for example, feed cost dropped by approximately 17% and outside meat cost fell by approximately 15% from year ago levels. You can see the key accounts as a percentage of sales increased to 28%. The higher percentage of key account sales to our total sales versus 2015, there is a reflection of our ability to add new customers and build capabilities to expand our value-added sales, thereby improving our product mix. It's also important to highlight that our strong track record and reputation in the industry for innovation and for maintaining the highest levels of food safety continued to be recognized in the market and allows us to attract new customers. Volume was up 1% from the same period in 2015 and was up 3.5% compared to the first quarter of 2016. Key accounts growth in the U.S. and an increase in overall volume in APMEA were the main positive contributors to the small net volume increase. These partially offset the impact of a drop in volume in the U.S., largely driven by a decision to outsource the deboning work which led to lower byproduct sales. Some of the key account growth in the U.S. did not impact volume, as we converted some existing commodity sales volumes of value-added. Moving to the graph on the right side of the page, you can see the EBITDA and EBITDA margin for the second quarter. Keystone set another record this quarter. We generated adjusted EBITDA of $67 million in the quarter up from $54 million in the second quarter of 2015, an increase of 24% year-over-year. This quarter's strong performance, reflect by three main theme. One was a better sales mix and strong sales volume in APMEA led by China, Malaysia and Australia, part of an overall 8.6% volume increase from the second quarter of 2015 across the entire region. The second driver was a positive commodity market environment, which led a substantially lower feed and outside meat costs year-over-year. And the third main theme that helped to shape this strong quarter was further growth in key accounts. With a solid contribution from introduction of some no and while its ever products in the U.S. Consumer demand for poultry not treated with antibiotics important human medicine or no antibiotics ever is increasing and Keystone is positioned for service customers across a broad spectrum of consumer preferences, and we'll continue to adapt our practices and supply chain to meet our present and future requirement. In summary, this was another great quarter for Keystone, and I'd like to take the opportunity to thank our Keystone Foods team around the world for the strong result. I'd like to now pass the call to Andrew Murchie, CEO of Beef Brazil to go over the second quarter results for that business. Andrew?
Andrew Murchie: Thank you, Frank. Good morning, everyone. On Slide 8, I'll comment on the result of the beef division, which includes the operations in Brazil and also on the international area. The scenario for the beef industry remain strong, under the business result reflected a challenge of sales. The main component of this scenario were the high prices of cattle and the limited supply was fluttering due to the moment of the cattle supply in Brazil, and also the lower beef prices in the international market. As you can see on the chart on the top left, net revenue was R$2.4 billion, down 6.4% on the prior year period. The lower sales volume affected by the optimization of our industrial facilities, and the cattle availability was partially offset by the higher average sales price which benefited from the weaker Brazilian real. Our substantial strategy of focusing on sales in the food service and small retail challenge, which accounted for 42% of sales in Brazil domestic market in the second quarter, up from 37% on the same period last year. Also in the export market, our priority on improving the sales mix, with Asia accounting for 34% of the export volume in the quarter, increasing 13 percentage points year-over-year. The chart on the top right shows adjusted EBITDA from the beef division. Adjusted EBITDA in the quarter was R$180 million, down R$65 million from the same period last year, with adjusted EBITDA margin of 7.5%. The result was due to the lower sales volume as already explained, the higher industrial fixed cost due to inflation between the periods, the lowest spreads in sales price with cattle cost both in Brazil and international operations, and also by the effect of exchange rate variation of the translation of the international operations and logistic exports expenses. Before moving to the next slide, I will pass the call back over to Eduardo Miron.
Eduardo de Oliveira Miron: Thank you, Andrew. So let's go now to Slide 9, where I will comment on the international offering carried out in May and June of this year as part of our liability management process. In our opinion, despite the extremely challenging environment, we achieved the two main goals of our liability management, reducing costs and expanding turfs. In May, Marfrig was the first publically held in private sector company to tap the international debt market, which had been closed to Brazilian issuers since June 2015. Demand reached $2.5 billion, five times higher than the initial offering of $500 million. Because of the high demand for more fixed securities, we issued $750 million, also improved and also improved this pricing which ended up at our final use of 8.25% or 12.5 basis points below the initial guidance. In June, due to the excellent performs of the 2023 bonds in the secondary market and the window of opportunity that emerged from Latin America issuers, following the United Kingdom decision to leave European Union. Marfrig once again was the first Brazilian company to re-tap the debt market. The additional offering of $250 million was re-tapped with the yields of 7.625%, a point below the original issue. The total proceeds from this new 2023 bonds which amounted to $1 billion has been used to repurchase more expensive and short-term debt, effectively advancing to be a strategy of linked the maturity profile and reduce the company's debt cost. The table on the lower side of these slide shows the allocation of the proceeds based on face value. Initially, these resources were used to repurchase the bond maturing in 2016, 2017, 2018 and 2020, holds face value amounted to $571 million. In July, the company announced the offer to repurchase the remaining 2017 bonds in the amount of $96 million, which closing date is today in fact. And finally, we had the 2016 bonds with an outstanding amount of $104 million maturing in November. The charge on the chart show our pro-forma occurs of the new maturity schedule of the bond with an increasing average term from 2.7 to 4.7 years. Let's go now to the next slide please. The Slide 10 shows market free liquidity and total debt maturity schedule. On June 30, the company gross debt was R$11 billion, down 6% and 8% from the end of first quarter 2016 and from second quarter of 2015 respectively. In U.S. dollar, gross debt was $3.4 billion, 4% higher than in previous quarter, which reflect the portion of the new bond that was not utilized. The balance of cash and cash equivalent was R$5.2 billion or $1.6 billion, which are sufficient to cover practically all that payment through 2019. We understand our cash position is conservative, but we prefer to follow this traffic [ph] given the still adverse local and globe scenario. In this context, Marfrig net debt was R$4.8 billion, decreasing 11% and 38% from first quarter 2016 and second quarter 2015 respectively. This is the lowest level since the first quarter of 2011. In U.S. dollars, net debt was $1.8 billion, which is in line with the prior quarter and down 60% from a year ago. Marfrig leverage measured by the ratio of net debt to adjusted EBITDA, in the last 12-month excluding the positive FX from the capital base from the assets divestment ended the quarter at 3.1 times, which represent an improvement of around 0.5 times from the ratio of 3.5 times of the previous quarter. The average cost of debt ended the quarter at 7.31%, down 33 basis points from the first quarter, reflecting the company's commitment to lowering its cost of debt. Let's now go to the last slide, please. On Slide 11, I will comment on cash flow in the second quarter. Operating cash flow before interest and CapEx was R$338 million, advancing R$65 million from the first quarter of 2016, reflecting the good performance of our operations and the working capital management. CapEx which amounted to R$61 million in the quarter was spent primarily to maintenance of the existing operation. Interest expenses amounted to R$281 million, which benefited from the stronger Brazil impacted the first quarter. Another highlight in the quarter was the positive cash from discontinue operation which contributed with R$73 million to the company's cash flow. As our result, consolidated free cash flow was positive R$69 million. With that, we conclude our presentation. Now, we would like to start the Q&A session. Thanks everyone.
Operator: Thank you [Operator Instructions] Our first question comes from Isabella Simonato with Bank of America Merrill Lynch.
Isabella Simonato: Good morning everyone. Thank you for the call. I have two questions. First, on the beef side, first, when you look at the sales mix actually the relevance of exports in this quarter. It was lower compared to what we signed in Q1. I would like to understand the strategy behind the mix in this quarter? And also, if you could give us an update on your view for cattle prices in the second half of 2016 and in 2017? And how do you see the spreads in both domestic and exports market if moving going forward? Thank you.
Martin Secco Arias: Thank you. I will ask Andrew to complete your questions.
Andrew Murchie: You're first question is about the second dramatically reducing a little bit the exports. As you know, our decision in terms of exports or domestic market is all based on returns and in the profitability. What we have seen on the end of the second semester was [indiscernible] in terms of the exchange was coming down and making the calculation and by the option that we had even domestic market was better than export. Working on your region that we have diverted some of the export into the domestic market, profitability is the answer for that one. In terms of cattle costs, we don't see too much of our space for changes during this the second semester. A lot of speculation about having less offers due to the grain prices – because of the seed loss, we do believe there will be some smaller offer than in the first semester, but we don't think that that will be too big. I think professional farmers which confine animals every year, they will not stop just because of that, may be they will do a little bit less, but nonstop. You know it's they business, the cattle on the farms and they have to finish the animals. So we might have a little bit less, but not significant. So we see it's so of a steady offers by the end of this year. For 2017, yes, based on the last two years and a half of the year of retention of cows in Brazil and high prices of cows is starting to see that the price of cows are starting to drop a little bit, and that's the first signal that we might see more offers and less retention of cows by next year. So, we do expect more offers of cattle in 2017.
Isabella Simonato: Thank you.
Operator: Our next question comes from Lauren Torres with UBS.
Lauren Torres: Yes. Hi, everyone. Not to be too short excited in nature, but I'm just curious on you choosing not to update your full year guidance. At these stages of game, I guess particularly looking that your assumption are based on currency of 4.1 and think how the real has move. Just curious once again to get a perspective on the puts and takes, and how comfortable you are? So hitting this guidance and I guess keeping an unchanged at this point and what could change I guess kind of keep you within this range for the full year. And I guess, in particular I'm curious to get your perspective on hitting your free cash flow full year numbers and think where we are year-to-date? Thank you.
Martin Secco Arias: Thank you for the question. As I mentioned, we are analyzing during this day to inform the new guidance or maintain our guidance. As you know, we have a multiple buyers in our – affecting our guidance, but there are some of them that are very, very hard, especially the exchange rate and really we are assuming a new way scenario and we are making the calculation and we are inform to the market in the next weeks.
Lauren Torres: And I guess as the other part of my question, I mean to confirm on the free cash flow guidance, I know we came up of a weaker first quarter, I think a better second quarter. So what gives you the confident as a subject [ph] to change I guess on the full year number, but what gives you confident on the second half of the year with respect to generating better free cash flow?
Frank Ravndal: Yes, we think our better generation, and as I mentioned, our main target will be a positive cash flow.
Lauren Torres: Okay. Thank you.
Operator: Next question Pedro Leduc, ‎JPMorgan.
Pedro Leduc: Thank you for the question. Hi everyone. On Keystone, first remarkable on 9.9% EBITDA margins were nice, especially considering relevant cost of your sales and this margin gain came entirely from the gross margin side versus last year's 2Q at least. Could you guys talk a little bit more about what drove these gross margin gains, if it was purely more of cost driven or does it also have a more structural component to add product mix, client mix, client efficiencies? And also just help us to understand how you could evolve going forward? Thank you.
Martin Secco Arias: Frank, could you answer this question for us?
Frank Ravndal: Sure. Hi, Pedro. Thanks. When you're talking about beef within Keystone, I was just wondering where you were looking at that detail. I thought I heard you talked about beef margins in particular within Keystone, so I just want to make sure I heard the question correctly?
Pedro Leduc: No, just Keystone as a whole, on the margin gains that you saw, yes.
Frank Ravndal: Yeah. Again, I think where we just the different tractors that I already mentioned. So you had a slight change in mix in the U.S. as we were able to take a little bit of what had been commodity sales and be able to turn those into value-added. And we did that specifically by being able to add some fire capacity at one location and some other capabilities and they are operating at another location that allowed us to provide some existing customers and some new customers with a broader line of SKUs. So that was what attributed to some of the key account, growth which also then helped to drive additional margin and profitability for the quarter. That was one area. The component around the cost structure from the commodities that you mentioned in your question is absolutely a driver as well, in terms of the lower outside meat cost as well as significantly lower feed cost during the quarter. So I think those were some of the main drivers I would repeat.
Pedro Leduc: Okay. So one of them is actually a business change or mix change as you guys read, and one of them has come out of this. So at least one part you can imagine both do well and depended off what commodity do.
Frank Ravndal: That's right. I mean I think a lot of the changes as you think about it over the last couple of years in terms of the margin build up. It hasn't been involve with though in terms of just being a commodity base thing, so one of a driver in terms of that EBITDA change has been in that commodity that lower cost through. If you look at our longer period of time, there is something we've been able to do around, operating costs improvements, better pricing discipline and focus improve mix, and then sort of commodity risk management overall, raw material sourcing. So, all of those components are, I think stick year than just a moment in time, and you see that if you look back over our EBITDA for the last three to four years.
Pedro Leduc: Okay. Thank you. If I may have the question for Miron on the company's cash position was pretty high at the end of the quarter, of course you does some other tendering that haven't flown out of your cash yet, so a little more than you will probably need. So wondering as you're thinking about any special deployment alternatives? And just on a recurring basis, you're deleveraging, but still not on a net profit recurring level. So is there are any more actions that you guys can clearly from a cash use side to lower interest expense and have to bring the company toward the current profit base? Thanks.
Eduardo de Oliveira Miron: Thank you for the question. As we mentioned before, we do recognize that we have a conservative position. We have now in this – today in fact we are making the – this are something debt payment and we have an order in 2016 that is going to mature in November. And we continue looking at opportunity to reduce our debt at something that we are keeping our eye into a rare situation. As we mentioned before, so we still see as an outside of our situation in the local market and the external market. So we are still having our conservative approach.
Pedro Leduc: Thank you.
Eduardo de Oliveira Miron: You welcome.
Operator: The next question comes from Stella Chan [ph], Ashmore.
Stella Chan: Hi. Thank you very much for your results. I just wanted to ask I guess wanting clarification regarding the MBS managed fee convertible. I know that you issued a statement clarifying that the news you poured out was inaccurate, but I just guess wanting separate [indiscernible] i.e. is Mr. Marcos is comfortable with the convertible debentures if you converted and or what is an ideal scenario for Marcos with regards to those MBS debentures? Thank you.
Martin Secco Arias: Regarding this issue, we want to reframe our financial discipline and early this morning we make our formal communication for the company regarding the press release that we received yesterday and we are not going to make any comment for either speculation about this article.
Stella Chan: A more direct question, is it possible that you would be declining any cash towards – maybe re-dealing these debentures early, it's not possibly if you had all. Is there some kind of reassurance you can give us on a level up to resolve any of the issue surrounding the debentures?
Martin Secco Arias : Could you repeat again your question?
Stella Chan: So I guess is a more direct question, is there any possibilities that you're willing to increase the leverage of the company to potentially prepay or pay part of the mandatory debentures down, so that I can confront
Eduardo de Oliveira Miron: This is Eduardo Miron. As we are reassuring and we keep talking to the marks, so our discipline in terms of the financials is absolutely key. So our objective is to reduce leverage. It's not to increase leverage. So you can consider that any decision that the Company makes has as I would say a condition, direction towards the leveraging and generating free cash flow. So that's what we can share with you at this point.
Stella Chan: Thank you very much.
Operator: Our next question comes from Eleanor Price, Bailey.
Eleanor Price : Thanks very much for taking my question. I was actually also wanting to ask about the debentures and potential increase in leverage. In that your – after certainly we shift on that. I wondered if you could also give me some information about the opening up of the Brazilian, the U.S. market to the export from Brazil. I understand that there is some frame of agreement has been pretty impatient in needs of stock, but there's just some growth you are relating to the surge. I just wondered if you have any, fear for when they might, the level of volume of exports might be reduced?
Martin Secco Arias: Thank you for the question. As you know, because we were talking about that for other calls. It was a very good news for brazil for the whole agriculture industry, especially the beef industry in Brazil. We are in the middle of the Minister of Agriculture from Brazil made the instruction to the factories regarding to start to produce for the U.S. market. As we comment in other calls, we are not expecting to increase our volume, physical volume of production. But this news make up a very positive impact in our market in our pricing of the product, as we did other markets in the last six months, like Arabia and China. But U.S. market has another significant important for Brazil, because they are so many countries that follow U.S. market instruction regarding the opening and open their markets for Brazilian Beef. I'm referring, Canada, Mexico, Caribbean region, that all of them are very important and important players regarding the import of the beef around the world. For that we are very, very happy about the news and we are thinking to start shipment maybe in 30 days or near-term 30 days, that will affect the last quarter of the Company positively and these are very, very long challenge that Brazil industry achieved in the last two weeks.
Eleanor Price : Okay. And can you comment on how many of your plants are current shut, because I know that you shut some plants to curtailed your utilization in the other plants, and I just wondered if those are still mothballed at the moment?
Martin Secco Arias: Just to confirm that I understand your question, you are asking about our capacity utilization something like that?
Eleanor Price : Yeah. I think you had some plants shut as well to make sure that your capacity utilization in existing plants was quite high. So, I think you had maybe three plants shut at the end of last year, beginning of this year. And I just wondered if they still remain shut or all your plants are now open in Brazil?
Martin Secco Arias: Not for the moment. As I mentioned before, we don't have expectation to increase our volume. But we are going to work in some factories for Brazilian market and this will help not only on the price that we are going to achieve in U.S. But also will help in our strategy in other markets that we are going operate with less volume.
Eleanor Price : Okay. Thank you very much.
Operator: The next question comes from Andrew De Luca, Barclays.
Andrew De Luca: Thank you for taking my question. I wanted to go back on your comments on free cash flow. And I know you can't provide a lot of color at the moment. But I was wondering if you could tell us what is specifically changed in the dynamics aside from the FX, because Andrew mentioned that the cattle prices are likely to remain stable in the second half. So, my guess is there something on the competition side that has changed, that you weren't expecting at the beginning of the year?
Eduardo de Oliveira Miron: This is Eduardo Miron. So, back to our commitment to free cash flow, we continue working extremely hard on the working capital. So, we have specific action in that direction. We expect you better results as we mentioned before related to the second half of the year. And on top of these, I believe we will see the benefits of the reducing interest rate. So, I think the combination of this should generate better cash flow in the second semester.
Andrew De Luca: But have you seen anything changing on the competitive environment just because your volume decline in the low-single digit – around 13% and that's a little bit more than we saw for some of your competitors. So, I wanted to see, are you seeing any sort of rational behavior from some of your, from some of your competitors in the market.
Eduardo de Oliveira Miron: No, I don't think there is any different behaviors that we are facing versus our competitors.
Andrew De Luca: Okay. Thank you.
Eduardo de Oliveira Miron: Welcome.
Operator: This concludes today's question and answer session. I'd like to invite Mr. Martin Secco to proceed with his closing statement. Please go ahead sir.
Martin Secco Arias: Thank you. I want to remind everyone that the global outlook remains challenged. However, we speak of good performance of the available economies especially in the U.S. In the specific age, our Beef division will have a new challenge for the next quarter that it will be the U.S. market open for Brazilian fresh beef. As I mentioned before, this is very potential to transform the industry and we expect also that after the U.S. market other country will follow this tendency like Canada, Mexico, that are very good potential customer for Brazilian beef. With the consolidation of this scenario, Brazil expands its export possibilities, which should benefit the industry profitability in the medium and in the long-term. At Keystone our strategy remained focused on key account and our specific markets as well as the company capacity to adapt the new market trend by offering higher value-added and innovative and sustainable product. Before I conclude today's call, I want to thank you Marfrig Global team for the commitment to delivering the result and to our ongoing liability management process during this period. Thank you everyone and until next earning season and see you – are able to see you soon personally.
Operator: Thank you. This concludes Marfrig conference call. Thank you very much for your participation and have a nice day.